Operator: Good morning, ladies and gentlemen. Welcome to Vale's Conference Call to discuss Fourth Quarter 2022 Results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. This call is being simultaneously translated to Portuguese. [Operator instructions] As a reminder, this conference is being recorded, and the recording will be available on the company's website at vale.com at the Investors link. This conference call is accompanied by a slide presentation also available at Investors link at the company's website and is transmitted via Internet as well. The broadcasting via Internet, both the audio and the slide change has a few seconds delay in relation to the audio transmitted via phone. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking statements comment as a result of macroeconomic conditions, market risks, and other factors. With us today are Mr. Eduardo De Salles Bartolomeo, Chief Executive Officer; Mr. Gustavo Pimenta, Executive Vice President of Finance and Investor Relations; Mr. Marcello Spinelli, Executive Vice president of Iron Solutions; Mr. Carlos Medeiros, Executive Vice President of Operations; Ms. Deshnee Naidoo, Executive Vice President of Energy Transition Materials. First, Mr. Eduardo Bartolomeo will proceed with the presentation on Vale's fourth quarter 2022 performance. And after that, he will be available for question and answers. It's now my pleasure to turn the call over to Mr. Eduardo Bartolomeo. Sir, you may now begin.
Eduardo Bartolomeo: Thank you very much. Good morning, everyone. I hope you're all doing well. 2022, we substantially derisked and reshaped Vale. We had strong deliveries in the management and decommissioning. We advanced, as expected, at the Brumadinho reparation. We created leverage for operational stability and flexibility. And we are simplifying our business portfolio, enabling a greater focus on our core businesses. On top of that, we drew up a plan for the Vale of the future, a company that promotes sustainable mining, fosters low carbon solutions and remains capital disciplined. Next slide. Before going to our performance in Q4, let me just reinforce that we just announced a new organization design for Vale's Executive Committee, which will strengthen our core business, broaden technical excellence and improve project execution. I will provide more details later on. I'm also very happy to announce the appointment of Jérôme Guillen as our first Independent Director for our Energy Transition Materials business, in line with the new management model that we had laid out during Vale Day. Jérôme is a former President of Tesla Automotive and has played a key role in developing the EV market as we know today. He is a very innovative and purpose-driven individual that will certainly add tremendous value to our energy transition materials strategy. As well, we continue to make substantial progress on the minority sale, and expect to share additional details with you still in the first half of this year. Moving on to our operations. In iron solutions, we delivered strong results. We find sales up 24%, combined with a strong price realization. Our all-in cost decreased benefited by lower freight rates. On the project side, the Gelado project is now under commissioning, and that help us make us very confident about our production guidance. In our energy transition materials business, our nickel production was steady with sales up 30% and production up by 6%, mainly due to the excellent performance of our Sudbury mines, which delivered the highest production rates since 2019. Also, Onça Puma had the best annual production in the last five years. In copper, it was a quarter of important maintenance activities in Salobo and Sossego to ensure asset integrity, which is paving the way for higher production rates in 2023. We successfully completed the startup of Salobo III, which will add 30 to 40 kilotons per year of copper at peak product. On product strategy, I would highlight Vale's long-term agreement with General Motors to supply battery-grade nickel sulfate. This reinforces Vale's unique strategic position to be the supplier of choice to the EV industry. In our quest to become a leader in sustainable mining, we continue to deliver in many of our public commitments such as in human rights, Amazon forest protection and the safety of our Dams. Finally, we walked the talk on cash return to our shareholders. We just announced a $1.8 billion dividend for payment in March, while remaining committed to our buyback program, about 42% completed. Next slide, please. The redesign of our executive team is key to ensure a fit-for-purpose organization with greater focus on its core business and on delivering our strategic goals. We now have a dedicated structure led by Spinelli to accelerate the development of innovative products and solutions in iron ore and the improvement of our marketing strategy. Carlos Medeiros now has the challenge of accelerating the implementation of Vale's management model, which will promote greater safety and reliability on Vale's operations. Rafael Bittar was promoted to the Executive Team, implemented with excellence our Tailings & Dams management model, and now he will lead our technical office, which incorporates Safety and Operational Excellence, Mineral Exploration and operational innovation. Alexandre Pereira will be entirely focused on implementing a state-of-the-art product planning execution from end-to-end to secure our long-term growth ambitions. As you can see, we designed our organizational structure for the efficient management of our operations and the development of innovative solutions for a carbon-neutral society. Next slide, please. We are seeing unprecedented opportunities for segmentation and demand growth for high-quality products. Quality is key for the decarbonization of steelmaking and a game-changing transformation for the high-quality suppliers like Vale. There is no other company like Vale, which combines volume and quality, innovative products and supply chain to deliver the decarbonization solutions that the steel industry needs. Our iron solution strategy is designed precisely for this purpose. With those differentiators, we are a partner of choice for our clients. We are establishing partnership with steel mills to find new solutions to decarbonize the industry. We have signed with clients, representing almost 50% of our Scope 3 emissions. As you can see on the chart, we are projecting a higher average iron content in our iron ore portfolio starting in 2023. This would give us much higher quality premium on prices. It's a quality and a price game. Just as a reference of how much value we can generate on quality, each one percentage point increase in average iron content corresponds to around $550 million of incremental EBITDA. The commissioning of the plus 20 project in the S11D and the Gelado project, which I already mentioned, will help us achieve growth, higher quality and better prices. In the Southern Eastern and the Southern Systems, we are increasing concentration process to deliver high-quality feedstock with the four filtration plants in Itabira, Vargem Grande and Brucutu that we delivered recently. And concentration is key to a high-quality, low carbon supply, reason why we signed up for the development of mega hubs in the Middle East. And finally, we are also about to start up our first green briquette plant in the first half of 2023. We face 6 million tonnes production capacity as originally planned. Next slide, please. In our energy transition material business, we have the right assets in the right jurisdictions, making us the ideal partner for delivering high-quality products to our customers. In 2022, we entered into strategic nickel supply agreements with Northvolt and with General Motors, in addition to an MOU for nickel processing between PTVI, Huayou and Ford Motor Company. We are developing a first-of-its-kind plant in Canada and North America to produce nickel sulfate from high period low-carbon nickel from our Canadian refineries. This project is a natural extension to our business, offering diversified sales with a greater footprint in the North American EV market. Nickel production increased 6% in 2022 mainly due to the stabilization of Sudbury operations and the consistent and strong performance at Onca Puma. Copper production declined by 15% to 253,000 tonnes in 2022 due to extended maintenance at the Sossego mill during the first half of the year and additional maintenance required at Sossego and Salobo. With the maintenance completion and the startup of Salobo III, our copper production should grow materially in 2023. In short, we have the assets, we have the innovative technology, and we are building the client engagement and the supply chain. With that, we have the will and the conditions to take Vale to the leadership of a sustainable mining on the critical minerals world. Next slide, please. Safety is the basis of a working culture, and we are proud to have achieved historic results in 2022. We reduced more than 80% the number of high potential injuries since 2019 in key critical activities. Vale has now the lowest TRIFR rate in 15 years. We are also 40% completed in our goal to eliminate all our upstream dams. The B3/B4 dam had its emergency level reduced from high to medium after successful safety improvements and important milestone in the journey to eliminate critical safe conditions in dams by 2025. Vale is around 90% adherent to the requirements of the global industry standard for tailings management, which gives us confidence that we will be 100% compliant by 2025. And we will continue to pursue the highest safety standards and operational excellence, making sure safety is incorporated into the company's culture. Next slide, please. At Vale, we are making sure that sustainable mining is at the core of all our actions. On our journey to reduce Scope 1 and 2 emissions, we established a natural gas supply agreement for the pelletizing plant in São Luis. We are also testing Biochar in our metallurgical and pelletizing processes, while progressing with the conversion of the two pelletizing plants to green briquette in Tubarão, as mentioned before. We have a voluntary commitment to protect and restore additional 500,000 hectares of forest by 2030. We protected and recovered 51,000 hectares in 2022, bringing the total to 172,000 hectares since 2019 or about 34.4% of the long-term goal. On the human rights, 100% of Vale's operations in Brazil are covered by human rights due diligences. As you know, we have a goal of taking 500,000 people out of extreme poverty by 2030. In 2022, we detail our action plan. In 2023, we will start a pilot project to benefit 30,000 people from areas neighboring Vale's operation and in other locations. In Brumadinho, we delivered 58% of the commitments set by the reparation agreement. We didn't establish deadlines. In Mariana, the Renova Foundation provided 315 housing solutions in 2022. This means Renova provided a total of 141 housing solutions so far or about 60% of the resettlement requirement. In conclusion, we have materially derisked Vale, and we are delivering on our commitments to a safer and more sustainable company. With that, I am sure we are building a better Vale. Now I'll pass the floor to Gustavo, who will detail our financial results, and I'll get back to Q&A at the end. Thank you.
Gustavo Pimenta : Thanks, Eduardo, and good morning, everyone. Let me start with our EBITDA performance for the quarter. As you can see, we delivered a solid $5 billion EBITDA in Q4, $1 billion higher than Q3 2022. This $1 billion increase is mainly explained by our strong sales performance in the quarter with iron ore finance up by 15.8 million tons and nickel by 13.9 kilotons. Price realization for iron ore fines also contributed to our better performance, and I'll provide more details about that on the next slide. Bunker and oil cost was positively affected by $250 million due to lower freight costs mainly as a result of lower bunker prices. In others, the main driver was the $224 million one-off tax agreement in Para, which I will cover later in my presentation. So, back to iron ore price realization. The average reference price for the quarter was $99 per ton. Our average premium was $1.6 per ton, up $1 versus Q3 as a result of better sales mix. The pricing mechanism effect had also a positive impact on our final realized prices. This is largely explained by the higher forward prices at the end of December. Around 31% of sales were booked at an average price of $116 per ton. You can see this effect on provisional prices in current quarter, which contributed with $5.3 per ton. Before the adjustments for moisture and FOB sales, price realization was about $107 per ton, 8.5% above the benchmark price. So, in summary, we delivered a realized price of $95.6 per ton, up $3 per ton versus Q3 despite a decrease in benchmark prices of $3.3 per ton. Now, moving to iron ore all-in costs. As you can see at the bottom of the table, our EBITDA breakeven cost came down by $2.8 per ton to $48.5 per ton. This is explained by three main factors; first, the 18% decrease in sales from third-party purchases, which contributed to $1.2 per ton in our C1. Second, our freight performance, which contributed with a cost reduction of $3.6 per ton due to lower bunker prices and better freight rates; and $1 per ton resulting from higher finance premium due to a better mix. On royalties, Vale joint approval with the government of Para in relation to the increase of TFRN, which is a fee to fund the government supervision of mineral production activities. This agreement, which covers the entire 2022 fiscal year, was fully recorded in Q4. Excluding this one-off event, the royalties line in Q4 would have been $2.7 per ton lower with all-in EBITDA breakeven of $45.8 per ton versus the $48.5 per ton reported. For 2023, we forecast a decrease of $2 per ton in the EBITDA breakeven due to higher average quality of our product portfolio and lower fuel costs. Now, turning to energy transition materials. Our EBITDA more than doubled quarter-on-quarter, reaching $775 million. This was mainly driven by better price realization for both nickel and copper, as well as a 30% growth in nickel sales and a decrease in nickel unit cost by 16% in the quarter. Now, looking at all-in costs. In nickel, all-in unit costs dropped by $2,600 per ton mainly driven by lower cost of goods sold. As you may recall, in Q3, we had a carryover of high-cost inventories, which was a one-off impact to our Q3 cost of sales. For 2023, we project nickel unit cost to be relatively flat, as we don't expect to change our purchase feed strategy in the short term, despite higher expected productivity in Sudbury. In the midterm, we expect a reduction in nickel costs as we ramp up DBME. Now moving on to copper. Copper all-in unit cost was up due to lower volumes from South Atlantic operations, after maintenance at Salobo and Sossego plants. We expect unit cost to go down on the back of higher volumes associated with better operational performance at Salobo and Sossego and the ramp-up of Salobo III. Now, moving to cash generation. As you can see, free cash flow generation was largely impacted by working capital and CapEx, which are usually higher in Q4. The working capital variation is largely explained by the $2.1 billion increase in accounts receivable, mainly due to higher accrual sales volume for iron ore, together with the positive effect of $21 per ton on higher iron ore provisional prices. These invoices will be collected in Q1 this year, and we expect the effect on working capital to revert in the following quarters. We also repurchased around $1 billion in Vale shares in Q4, which is aligned with our capital allocation strategy. So let me talk more about our capital allocation strategy in the next slide. Since April 2021, we bought back 683 million shares or 13% of the initial number of outstanding shares. This means a 15% increase in concentration of earnings and dividends on a per share basis. Also yesterday, we announced a $1.8 billion in dividends to be paid in March 2023. So before opening up for questions, I would like to reinforce the key takeaways from today's call. As Eduardo mentioned, Vale redesigned its Executive Committee to ensure a fit-for-purpose organization with greater focus on our operations and on delivering solutions for the global energy transition. In that sense, we are taking actions to serve a growing market demand for quality products, leveraging on our unique mineral endowment and innovation capabilities. For example, the high-grade pellets and briquettes, the mega hubs initiatives and the low-carbon nickel products. We also remain focused on delivering new projects to meet our production guidance and to make sure we sustain the unique competitive advantage of Vale. And finally, we remain highly committed to a disciplined capital allocation process, as evidenced by our highly accretive buyback program and dividend payout. Now, I would like to open the call for questions. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. We advice that the question should be asked in English [Operator Instructions] Please, restrict your questions to two at a time. And our first question comes from Leonardo Correa with BTG Pactual.
Leonardo Correa: Good morning, everyone. Thank you. Can you hear me well?
Eduardo Bartolomeo: Yes, yes. Yes, we can now.
Leonardo Correa: Perfect. Thank you. So my first question goes to Gustavo. On the note of still of cash returns, right, Gustavo, I mean, Vale has been very active on the buybacks over the past quarters. And since you joined Vale, your message has been very clear on buybacks and the preference for buybacks, right? Think Vale has really stepped up the game on that front. Since the recent lows, right, I mean, Vale has rebounded like 40%, 50%, right? The stock has performed quite well over the past months. In this context, I mean, the stock has related as well, right, I mean, versus Australian peers. We see that re-rating process probably complete, right? I mean, the multiple is now more aligned, which is fair, right? So in this context, Gustavo, I mean, how do you see the balance, right, of now sustaining this buyback, right, in the context of, let's say, a higher priced share vis-à-vis paying that balance in extraordinary dividend. So I just wanted to see how you see current trade-off, given where the share price is and the use of Vale? And the second question on costs, I think we had a pretty reassuring number, right, in terms of delivered cost into China, right? The number has declined from $51 to about $48 this fourth quarter. I mean, looking forward, right, given the deflationary pressures we're seeing, right, I mean, the oil price is still quite depressed. I mean, if you think of freight rates, Brazil to Bay & Long, the number is $16, so still below the freight rate that you guys are booking. And I understand that you have a good part of that which is long-term contracts. But just putting everything together, can we see the delivered cost into China falling below $45 by year-end, or how are you seeing the evolution of those costs? Thank you very much.
Gustavo Pimenta: Thanks, Leo. So on the first one, as you know, we have a very attractive dividend policy, right, the 30% EBITDA less sustaining, which is somewhat close to a 50% payout. So we've been performing on that. And on the buyback, as you know, we've been walking the talk, delivering and executing on the buyback, especially when prices are softer. Quite frankly, we continue to believe that even at the current levels, this is probably one of the best, if not the best investment that we have, buying back shares. And we'll continue to do at those levels. We continue to believe that, these investments at the current levels is highly accretive for our shareholders. On the cost, I mean, the guidance that we have provided for 2023 is about 47. So $2 lower than what we posted last year. So we have to see. I think a lot -- it will depend on how bunker performs. Certainly, year-to-date, freight rates are better, about $3 altogether, so that could be an upside. But so far, we are keeping the 47 as our guidance for 2023.
Operator: And our next question comes from Rafael Barcellos with Banco Santander.
Rafael Barcellos: Hello, good morning, and thanks for taking my question. My first question is about briquetting. I mean, how is the briquetting project evolving? And how as been your commercial strategy on this as I think we are approaching the start-up, and, of course, how your customers have been reacting to that? And my second question is about the base metals division. Could you please elaborate on how are you seeing operations evolving now in the 1Q, not only on the cost side but also on the production side, and which type of contribution to Vale we could expect from Tesla's former executive who just joined the Board? Thank you.
Marcello Spinelli: Thank you, Rafael, for the questions. This is Spinelli here. Talking about the briquette, the – green briquette. So as you mentioned, we expect the start-up this year for the first industrial plant in the first half, second -- in the second half. So this is the year for test, so industrial test in our clients. We've been developing the blast furnace briquette, and we've been testing around Brazil in more than all the kind of size of blast furnace. So that will be another test. So we're going to explore the seaborne, all the impact in the vessel. So that's the year for test. And also direct reduction will be a possibility to foster and increase the speed to test in our clients. So for this year, it's about test. All the -- the commercial strategy is similar to the pellets. And for next year, we'll be evolving in our agenda to expand our production to the mega hubs and to our clients in other parts of the world.
Eduardo Bartolomeo: Rafael, I'll relay the question for Deshnee to go over the performance. But I want to explore your second part of the question around Jerome. I think as we've been continuously saying, we have unique assets and opportunity in the, what I say, revolution energy of the world. And I think Jerome is part of this, right? He is 10 years in Tesla, he's been true and made what we know what is the EV world today. So he will help us a lot on guiding us, on helping us and the Board together with me and other peers that we're going to construct to unlock the tremendous value that we have inside this business. Absolutely is one profile that fits because he comes from OEM. We are looking for other profiles as well that will help us with underground mining for sure, for -- with the base metals experience. So when we said, let's carve out the business, let's ring fence base metals is exactly to attract talented top people. And I think this is a good example. And again, I'm so glad that he took the challenge to come and extract this unperceived value of the base metals business at Vale. And I think Deshnee can elaborate on your question around the performance. And I think we are doing good strides on that side as well and still a lot of challenges as well. Okay, Deshnee, please.
Deshnee Naidoo: Thank you for that, Eduardo, and thank you for the question, Rafael. So if I look at nickel and as we guided at Vale Day, nickel will be very similar to the production level that we achieved last year but with two changes. We will take the Onca Puma Furnace 1 down in quarter four, and we will take the Creighton shaft down for overhaul in quarter three. But despite that and because of the productivity gains that Eduardo mentioned in terms of Sudbury, we are still expecting to keep production largely flat in the rest of the business. And outside of Sudbury and after completing the PTVI furnace for rebuild last year, PTVI will give us a delta 10,000 tons in the year. So that's on nickel. But I think because of the seasonal impacts of P&P that we generally do in the first half, we'd have a similar year for nickel where you see the production back ended to the second half, including sales as well. Coming to copper. So copper, there's three changes that will happen this year. The first one is the North Atlantic, where we'll see about a delta 10,000 tons year-on-year, and that's largely from the improved support that we did last year following some of the seismicity events we've had that we've since supported. And it was great to see not only did Eduardo mentioned, nickel had a great quarter last quarter, but so did copper for us out of Sudbury. The game that we need to win at this year is the backlog maintenance at both Salobo and Sossego. And turning to Salobo quickly, we've now moved this into a very structured program where we've mapped out not only all of the risk based on loss profile, but the action that we need to follow to both catch up on some of the backlog maintenance, but as well as keep up to the maintenance schedule that we've had. And again, we have had a good January, which tells us that we are on the right plan. Now we all know that in order to be successful, what gets measured gets done. So we've actually put the Salobo operations into a PMO structure so that we now as a leadership team can see weekly all of the work that is happening. That will give us about a delta 45,000 tons from last year's performance across both Salobo I and II plant as well as the Sossego plant. But the real win for us this year is making sure that we can continue on the ramp-up plan of Salobo III plant, which will give us about a delta of 50,000 plus in the year. And again, Rafael, that will be back ended, right, just because of the nature of the ramp-up curve that we have. But we're very happy to report that as of today, both lines are operating in Salobo III. So the way to look at the performance, nickel similar to last year with some of the exceptions I mentioned. Copper, we are targeting the guidance, and it will come from the delta that we're going to get in terms of the maintenance that we are doing because of the Salobo III ramp-up that ended into the second half of the year.
Operator: Our next question comes from Caio Ribeiro with Bank of America.
Caio Ribeiro : Yes, good morning. Thank you for your opportunity. So my first question is on the Base Metals division. If you could share some updates in regards to the process, right, of potentially selling a 10% stake in the division, that would be very helpful, right, especially in regards to the timing of concluding the transaction. First half 2023 is still valid, what profile of investors you're in discussion with? And what you plan to do with the potential sales proceeds? And then secondly, if you could also provide an update in terms of discussions around the renegotiation of the Renova framework agreement, whether there is any timing, any definition of potential amounts already agreed, that would be great, too? Thank you.
Gustavo Pimenta : Thanks, Caio. This is Gustavo. So I'll cover both. On Base Metals, it's moving quite well. Quite frankly, we are expecting to have news in more details as we said before in the first half of 2023 discussing the opportunity with different parties of great parties that we think is going to add a lot of value to this story. So stay tuned. We should be using a larger portion of the proceeds to fund growth. This is a business that should be investing in new platforms going forward that I think it's going to be highly accretive, right, good level of returns and so on. So, the idea is that a lot of the resources will be used for that. On the TTAC renegotiation, Renova, we continue to evolve on the discussions. I think the new government has been vocal in the sense that they are also reinforcing a desire to settle, which we all think it's a good thing. So, our expectation is that we'll be able to find a resolution and sell the renegotiation this year in a format that works for everybody.
Operator: Our next question comes from Carlos De Alba with Morgan Stanley.
Carlos De Alba: Thank you very much. Good morning everyone. So, a couple of questions. Coming back to the Base Metal business. I don't know what else can you elaborate, but maybe how do you see the value re-rating that a transaction in base metal can take place? Do you see that more coming from a multiple re-rating, or do you think that it's more really the performance of the business that unfortunately, even though in the last few months, it has improved, over the last several years it hasn't been stellar. So, how do you -- could you maybe articulate, Gustavo, on how do you see this playing out? Do you attribute this more to multiple re-rating, transparency, structure of the business, organizational structure and leadership structure or more to the performance going forward being better on a sustainable basis? And then the other question if I may, Gustavo, has to do with the CSLL recent decision by the FDF. Potentially, the government will be able to get the money on tax disputes before the process or the disputes come to an end on an exhaust on the legal avenues. And it could be, in theory, retroactive. How much Vale is exposed to that? And also continuing with the tax situation, there was a proposal, provisional measure that would change the transfer pricing practices in Brazil. How is Vale exposed to that provisional measure? Thank you very much.
Eduardo Bartolomeo: Okay. Carlos, I'll let Gustavo go to the second one. But again, maybe all the above that you mentioned because let's be frank. I think the name of the game here, I've been saying that for a long time, it's execution. Why we ring fence the business? Because we believe that doing the right incentives, the right motivations will allow us to improve our performance. It's happening, by the way. You noticed that. So -- and we're finishing this ring fencing. So Deshnee is going to have all her exco together with her directly focused. The governance that we are building together is around attracting people like I just mentioned, Jerome and others that you see in the next months as we evolve in the design of this governance. But fundamentally, why bring somebody else to the table now? That's a good question, a fair question to answer. And I said that we would do anyway, right? So, just bear in mind that if eventually we don't have a right proposal because what we want with this is an anchor to promote the acceleration of the execution. We spent already 16 years on that. We don't have another 16 years for that. So if I'm able to bring somebody that shares the same perception of value, of -- like I mentioned that Jérôme did as a Board member, or Ensca [ph] as a partner, a financial partner, a strategic partner that can help us, again, accelerate the execution. That would be the fundamental reasons why we carved out, ring fenced and sold a minor participation. We don't want to put a lipstick on the pig. We want to make this business really, really excel. And I'm sure the re-rating is key here. It's not only because Vale has re-rated, as I think Leo mentioned. I think the whole industry is underrated. The whole industry is ridiculous underrated. I'm not talking about the mining industry. We cannot be in the basis of the energy revolution and being taking multiples as we speak. And not evidently, if I move the green metals, copper, nickel, cobalt to a separate entity, that makes it easier to people understand the criticality and the growth that is coming. That's the next reason why we're doing that, because if you understand the needs of cash for this business, we are talking huge amount of money. We're talking $20 billion. And I think Vale's iron solutions shareholder eventually wouldn't like that as well. So why not have this option in the near future, if you are executing well? So sorry for the long answer, Carlos, but it's all of the above. And I have zero doubt that we are in the right path. I have zero doubt that we're going to execute much better than we have been executing. I have zero doubt that we're going to have a re-rating and are re-rating much more above. And I think mining industry has to be re-rated. It's unacceptable to be re-rated like -- rated everybody, I'm talking about Vale. I'm talking about the mining industry. So we are so critical to the world, and you know exactly what I'm talking about valuations. So, long answer, sorry, but that's a fundamental thing for us. This is the most important strategic matter in our portfolio today. And then, we will have time to talk about iron ore, by the way. I never saw a call with so many questions about base metals. I think that shows the interest. Thanks, Carlos, for the question again. I will ask Gustavo to go over the -- 
Gustavo Pimenta: So, Carlos, just to complement quickly here. On the tax, the CSLL, we've booked 100% of the potential impact on Vale in Q4, which was $150 million. So that's fully provisioned, including the interest and penalties. So you probably heard there has been discussions around giving some relief on penalties, which we are following closely. But at this point, it's fully reserved, $150 million of impact in Q4. On the transfer pricing, we saw it very positively, actually, because I think the view here is that the regulation will follow the OECD principles, which is what Vale already follows. So I think to a certain extent, it gives transparency and clarity on the regulation that Vale has been already following so far, was a positive move.
Operator: Our next question comes from Vanessa Quiroga with Credit Suisse.
Vanessa Quiroga: Hi. Thank you for taking my questions. I have a couple. The first one is how -- if you can discuss how you see the current demand for higher-grade iron ore and agglomerate. I mean, in the very short term, we are well aware of the fundamentals for the medium and long term, but just wondering how – what is your sense of that current market conditions for the product? And the second one, just to add on the question about Base Metals, we've seen and we heard that potential partners could be either a player in the automotive sector or a financial partner. So can you discuss a bit further on what are the different virtues that you see in either profile for the potential strategic partner? Thank you.
Marcello Spinelli: Thank you, Vanessa, for your questions. Spinelli here. Well, let me talk about the short term and midterm. So short-term pellet business, agglomerated business now is pellet. So we're moving to green briquette so far. But actually, blast furnace pellet in the last quarter, we had some adjustment in the demand because of all the problems in the energy in Europe. So Europe is an important client, but so far, so good. They didn't have a huge – that huge impact that we were expecting. So the demand is strong for this quarter and next quarter. In direct reduction is really with a good demand in the Middle East. Middle East and the US today are the main users for direct reduction route. So far they have some adjustments in their price, but the demand is there when you see the demand and the production and the level that we announced in our guidance. But I have some news in midterm. I just came from China. Actually, I was the first major in presence in China so far after COVID. And one thing is they are – and it's funny, because I expected that Europeans will come in the first moment for the mega hubs, all the strategy that we have to improve the production for pellets, and they are really interested in that. We believe in the trend of growing the use of scrap in China. But they are struggling to speed up that supply of scrap, and they will need the pellets for that. So they are aiming to join us in this mega hubs project. And also, our team was in Japan, in Korea. And so far, they are already investing in some places in the – where we have Duqm that is in Oman, also Household Care in Saudi Arabia. So again, it is happening. And for the midterm, the carbon price, you make a real important difference. And so far, the clients are coming. So we are excited to keep our strategy. We are sticking on that.
Gustavo Pimenta: Vanessa, Gustavo. Here just on your second question, look, we are keeping this certainly close to us in terms of details of potential interested parties. What I can say at this point is we are looking at potential partners that believe on the energy transition, believe on what Eduardo highlighted earlier in terms of electrification of everything, EV transition, that sees the long-term value of base metals, right, and is willing to support our strategy. So that's the type of profile that we are looking at. So we will make sure we share those details later once we finalize those conversations.
Operator: Our next question comes from Rodolfo Angele with Banco JPMorgan.
Rodolfo Angele: Thank you. I have two questions. My first is, I think, a hard one, but I would like to hear your thoughts. What I'm hearing from this call is there is a big change happening at Vale, and you're positioning the company to be a key player in a world that's going to be very different. And indeed, the company has very unique assets, both in the base metals and in the iron ore space to kind of deliver that. But we are still a few -- I don't know, there is a gap of time until we get there. And in the meantime, we're, of course, looking at what's happening. We discussed costs. We discussed a number of things here. So my question to you is when -- or what are the key kind of first indicators that will become -- will make clear that -- for investors that we're getting to a point where profitability is increasing because of the profile of products the company has, because of the changes that are being implemented, and you should think that will happen before the re-rating of the sector or not? So that's more of a concept question. And the other question was -- sorry, it's going to be a bit more boring. I just wanted to know if you can provide us on the base metals cost guidance assumption. What are your assumptions embedded there for by product? So that's it for me. Thanks.
Eduardo Bartolomeo: As you said, hard question, but excellent question. I'll try to be brief because it's around everything that we've been talking about, right? If you look at this iron solutions business is there's a fundamental shift that we are trying to push on everybody's mind and ourselves, by the way. That's why we redesigned the organization, taking Spinelli completely focused on the marketing and the strategy, bringing mid-year to face the most immediate challenge that you mentioned. How can you perceive that? It's the increase of production of pellet feeds and feed of quality in the Northern System. That will bring exactly that percentage point that I mentioned to our -- to the model that you model because, of course, we have to be on the lowest quartile. We are -- we have the bad assets with some cost pressures, but we're doing final cost. That's -- and if we dilute for 340 as you model, obviously, we will help. But fundamentally, it's a percentage of iron ore quality. That is the iron solutions that where we segment the market, where we play in the high yield. Remember the slide on the presentation that we showed that this year, we improved like 0.7 percentage points, but we want to improve like two-point percentage. Like I know if you remember Vale Day, we put Carajás being able to concentrate to 67. That's where you're going to start seeing the true premium. And we're going to do a webinar about that, by the way, just -- it's not a place to announce these kind of things, but we're doing a webinar to give even more details about that for you, because people are not factoring that. We mentioned that in Vale Day, and we're going to talk a little bit more. So that's one part of the equation. Second one, I'll try not to repeat my whole spiel about Base Metals. But that's -- it's ridiculous undervalued, everybody, not only us. The kind of demand that's coming over us of nickel and copper or cobalt and everything, on lithium, et cetera, it's not priced. And we need to be able to deliver the projects. So I think if you asked me where the key points are, delivering the guidance, delivering the effectiveness of our current operations, because we still have great assets that are under -- that could perform better, I would say, perform, but they could perform better. They are getting better performance like in copper, as Deshnee mentioned, on nickel and the growth, because that is the growth. Like Salobo III, we are very excited with Salobo III. Salobo III started up very well. Those kind of assets are the ones that are going to bring growth to the market, and people are going to stop appreciating that. And you look at -- when you look at the percentage of the participation of Base Metals in our cash generation, and you can go back to your model, we do it, because you're underestimating the size of cash generation that we're going to be able to bring if we execute the projects. So that's why, again, we -- especially we focus our organization in that sense. So conceptually speaking, it's that. I think it's a bit of a -- not only time. I think I'm not trying to buy time here. We are doing. We're executing. We are buying back Vale. That's another extremely high avenue of growth, and you do much more better calculation than I do. You know we increased 15% the basis. We are going to buy more 7%. We're going to renew our buyback program. So I think it's a long-term game. We always said that this kind of business is not a sprint. It's a marathon, and people that believe in the marathon is going to make a lot of money as we are doing already, right. So let's be honest. I think Vale has been really accretive, and it has a lot much to do. And I think those -- your questions are the true was that investors should really thought about. And people that jump in the bus now will be very happy in the medium-term. Thanks for the question.
Gustavo Pimenta : Eduardo, just complement Rodolfo's question on the second one on the cost. So Rodolfo, we are taking certainly the benefit of byproducts based on market prices. This is the numbers we are currently using. For 2023, we had guided copper at 3,200. It's better than last year as we're bringing Salobo online, resuming capacity at Salobo I and II and bringing Salobo III online. And in nickel, we are at 13,000. So similarly to last year as volumes are somewhat flat as Deshnee has highlighted.
Operator: Our next question comes from Daniel Sasson with Itaú BBA.
Daniel Sasson: Hi, everyone. Thanks for taking my questions. My first question is on the TRFM in Pará right. If I'm not wrong, they basically Para was trying to triple the taxes that they charged, and you actually reported higher royalties or higher expenses with royalties in your iron ore business this quarter. And you explicitly mentioned that $2.7 per ton cost increase because of an agreement with the Para state. If you could just give us more details on how -- or by how much the final taxes really increased? That would be great. And just a quick follow-up on the iron ore cash cost. You mentioned that you remain comfortable with your $47 per ton guidance for the year. But if you could comment a bit on the marginal cost that you see in the industry right now after the very strong cost inflation that we saw but -- during 2022. But then again, we're now seeing lower bunker prices as you mentioned, lower freight rates. So, if you could give us a sense on where you see the marginal production cost standing right now that would be great? thank you.
Gustavo Pimenta: Thank you, Daniel. I'll let Spinelli over the marginal cost of the system. On the TFIM, the increase is when -- it's in real, actually, it's around BRL8. So, in dollars, about $1.6 per ton from the north, right? So, this was a long dispute we had with the state of Para, and we decided to settle. Part of the increase will be dedicated for local investments that we're planning to do, social related and others. So, that's the impact you're going to see from now on. As I mentioned in my prepared remarks, we booked everything in Q4. That's why you saw that large variation in our Q4 performance.
Marcello Spinelli: Daniel, it's Spinelli here. So, you're right, there is a movement that for us, it's better than our competitors. Actually, we are more exposed to the freight. And what we believe today is that our long-term price is -- for the last -- the 70 that used to be in the past, now is 90 despite all those ups and downs in terms of cost. That's the long-term price in average. So, -- and again, it's important to say we were the benchmark last year in terms of all-in costs because of our high-grade ores. So, the premiums are playing an important role. And that mid to long-term strategy that we see, the premiums will play a very important role to be -- to make Vale in the first quartile of the cost rate -- of the cost curve.
Operator: Our next question comes from Amos Fletcher with Barclays.
Amos Fletcher: Yes, good morning everybody. So, I just had one question on Base Metals. I just wanted to play devil's advocate here and ask why does it make sense to bring an OEM onto the shareholder register and the Board of the Base Metals business? I'm just concerned, I guess, around potential for a conflict of interest as in the low nickel and copper prices, but Vale shareholders want high prices. So, yes, I guess my question is why get an OEM as a shareholder when you can sign offtake volumes as you've already been doing with Tesla and GM, et cetera? Thanks.
Eduardo Bartolomeo: Okay, Amos. I ask guys obviously in the process. Just to be clear, like Jerome is a former guy, right? So, I think you were asking about the partnership. So go ahead.
Gustavo Pimenta: Yes. So Jérôme is no longer with Tesla, right? So what we are after is his innovation capability, his understanding about the market. We think it's going to add a lot of value to the Board. Regarding your reference to GM, we haven't commented on any potential candidates. So I won’t comment on that.
Operator: That does conclude today's question-and-answer session. Mr. Eduardo Bartolomeo, at this time, you may proceed with your closing statements.
Eduardo Bartolomeo: Okay. Thank you. Very -- I think, very exciting moments, right? I think different call. Good to have a different call once in a while. And I don't know people -- nobody asked about China. China is doing fine. China is going to improve. But anyhow, I think we are in a good start. I think, I'm going to push on Gustavo's remarks in the end. The organization, after the reshaping, as we exit all the assets that were draining cash inside Vale, we were able to repurpose our people. We have a great team here at Vale to execute the strategy. We have taken the actions, as was asked by Rodolfo. We need to put quality truly on the market with volumes. Our volumes are coming back with quality. We're not going to put anything else besides quality. So -- and we're going to have to make iron solutions be real. In Base Metals, energy transition, now, we need to educate ourselves with any transition materials. It's -- the opportunities are huge, as we discussed during the call, and execution of the projects and the operations are key. And finally, we remain capital disciplined. I think if any of our -- the check box list is, we've been very critical to assign value to our shareholders and to our stakeholders. This is a society, as we discussed before, has to perceive Vale as desired, not only Vale, I mean, mining, we're not in this game alone. It's an effort to supply the critical minerals that are needed for society. That's a collective effort. Society has to recognize that. And when that does happen, I would truly believe that not only Vale, but the whole sector will be re-rated. So, with that, I would like to thank you for your attention and your questions. And I hope you all keep safe. I hope to see you in the next call. Have a good day.
Operator: That does conclude Vale's conference call for today. Thank you very much for your participation. You may now disconnect.